Operator: Ladies and gentlemen thank you for standing by, Welcome to the Susser Holdings’, Susser Petroleum Partners Fourth Quarter Earnings Conference Call. (Operator Instructions) Today’s conference is being recorded February 27, 2013. I would now like to turn the conference over to Chip Bonner, Executive Vice President. Please go ahead.
E. V. Bonner Jr.: Thank you operator, good morning everyone and thank you for joining us. This morning we released our fourth and full-year 2012 earnings for both Susser Holdings Corporation and for Susser Petroleum Partners LP, and our news releases were broadcast to our email list. If you would like to be added to one or both lists, please contact our Investor Relations firm, Dennard Lascar Associates at 713-529-6600 or send your request via the IR pages of our websites, and we will be glad to add you. A replay will be available on the web for at least 60 days, via telephone replay until March 6. To access a replay on the web go to our IR pages either at www.susser.com or www.susserpetroleumpartners.com you’ll find all the replay instructions in the earnings release. A reminder of the today’s call will contain forward-looking statements that information is based on management’s belief, expectation and assumptions, and includes the Company’s objectives targets, plans, strategies, costs, and anticipated capital expenditures. These statements involve risks and uncertainties that could cause actual results to differ materially. These risks and uncertainties are described in the Company’s reports on file with the SEC including the perspective for Susser Petroleum Partners’ IPO filed on September 21. We will file our 10-K for Susser Holdings Corporation by March 15 and the 10-K for Susser Petroleum Partners will be filed by March 29. We will discuss certain non-GAAP financial measures that we believe are helpful for a full understanding of our financial condition. Please refer to our news release, which includes a reconciliation of each financial measure. Information reported on this call speaks only to the Company’s views as of today, February 27, 2013, so time-sensitive information may no longer be accurate at the time of any replay. Also with us today are Sam Susser, our Susser Holdings’ President and CEO; Steve DeSutter, President of our Retail Group; Rocky Dewbre, President of our Wholesale segment and Mary Sullivan, our CFO. Other members of our leadership team are also with us including Kevin Mahany who heads our Merchandising. Now I’ll turn the call over to Sam Susser.
Sam L. Susser: Thanks, Chip and good morning to everyone. First, I’d like to say that we had a solid finish to an outstanding year overall and I want to express my deepest thanks to the 8,700 team members that delivered results once again for shareholders setting many new records for our Company. We delivered our 24th consecutive year of same-store merchandise sales growth where the fourth quarter increase of 5.8% year-over-year in an increase of 6.6% for the full year as compared to 2011. Merchandise margin finished the year at a very strong 34.1% of revenues for the quarter and 33.9% for the year. Total gallon sold increased almost to 11% with strong performance from both our retail stores and third party sales made by our wholesale segment. Our adjusted EBITDA was up almost 44% in the fourth quarter and up 9.5% for the full-year. Susser Petroleum Partners which will refer to as the Partnership on the call completed its first full quarter of operations following its IPO in September. We’re extremely pleased with our initial results and with the positive reception we’ve received from both sets of shareholders. We believe that our momentum in new store growth combined with the robust Texas economy sets us up with additional opportunities to grow shareholder value in the coming years. We provided initial guidance for 2013 for both companies in this morning’s news release. Our current expectations assumed continued expansion in the Texas economy, which is driving commercial investments, construction activity, and continued population growth. There are a couple of unknowns coming out of Washington that could impact our future results, and some of you have already been asking about them. The outcome of the fiscal debate is obviously very important to Susser, as it is to each of you. Sequestration to the special reduce consumer confidence in the many markets, where we have military basis. The second challenge out of Washington is healthcare reform, while the impact is not expected to materially impact our results until 2014; we are actively working on this issue right now. Just like many other companies we’re trying to understand what all the roles are going to be, and what options are really available to us. Unfortunately, the requirements are still evolving. We will provide further update later in the year, once we were able to Stripes our benefit changes to our own team members and to then quantify the potential impact of the Company. Now I’ll turn the call over to Steve DeSutter, President of our Retail Group for a more detailed look in our operations. Steve?
Steve DeSutter: Thanks, Sam and good morning everyone. To echo Sam’s opening comments, it was another record year and a great quarter for Stripes. Our 6.6% increase in the same-store merchandise sales was the strongest since 2008. Customer traffic continued its overall positive trends in the fourth quarter and was responsible for about one third of the increase. Increased transaction sized over the other two-third split pretty evenly between basket size and inflation. Laredo Taco Company continues to grow steadily and during the fourth quarter, we enhanced our menu with the addition of new offerings including Tamales, which are selling very well. And if you don’t know what a Tamale is, come taste some during our Analyst Day on March 21. This new item along with other menu extension of this year and improved operational execution drove growth in the restaurant sales in most of our market areas during the fourth quarter and full year, which also increased combined purchases of other items such as sodas and snacks. Food service, which primarily includes restaurant sales, coffee and fountain drinks was 21% of merchandise sales for 2012, and approximately 30% of merchandise gross profit. At year-end, we operated 352 stores or 63% with restaurant locations, including 338 of those with Laredo Taco Company. While we continue to face increasing cost pressure for a number of food and supply items driven both by higher commodity prices and transportation costs, we’ve been pretty successful of containing, reducing or offsetting cost increases on many key items such as meat, eggs, flower, cheese and cooking oil. We continue to look for supply alternatives to help us lower costs and ensure we can continue to provide strong value to our customers. Our merchandise sales performance in the fourth quarter was led by increases in packaged drinks, beer, food service, cigarettes and snacks. Gross profit for the quarter was driven primarily by same-store dollar increases in packaged drinks and food service. For the full year, sales increases were led by the same categories as I just mentioned. Same-store gross profit for the year was led by food service, package drinks, snacks and beer respectively. For the full year, same-store gross profit from cigarettes was down about $1.5 million versus 2011, but bucking the national trend, we increased same-store units sold by over 3%. Cigarette margin for 2012 was 150 points lower than last year primarily impacted by major supplier pricing programs. We had another very strong year for retail fuel volumes and gross profit. Gallons per store increased 5.8% for the full year with diesel sales driving much of that increase. That said, gasoline gallons per store also increased this year. Diesel was approximately 21% of retail sales gallons sold throughout 2012. Fourth quarter fuel margin up 21.1 cents per gallon is the best Q4 margin we’ve ever reported. This was primarily the result of following fuel costs during most of the quarter. As a reminder, under our new structure, we now pay $0.03 per gallon markup to Susser Petroleum Partners whereas prior to September 25, we paid no profit markup to our wholesale segment. So for comparison to last year, we would have reported 24.1 cents per gallon in the retail segment for the fourth quarter under our old structure. Our full year fuel margin of 21.8 cents per gallon would have been 22.6 cents without the reduction for the markup going to the Partnership. This is slightly lower than last year’s record of 23.2 cents per gallon, but still a very strong result compared to our five-year average of 17.8 cents. Our 2013 retail fuel margin guidance reflects the 3 cent reduction. I am very proud of our team for opening a record 10 new Stripes stores in the fourth quarter. Following the eight stores, we had already added in the third quarter. These last 18 stores averaged about 6,200 square feet and have an average of 10 fuel dispensers capable of servicing 20 cars and trucks at the same time. And each new store location is employing between 25 and 50 new team members. We still expect to open 29 to 35 new stores this year. Some of these are in existing markets as well as expanding in some new communities in Texas, where we see good, long-term growth potential. Currently, there are 11 stores under construction, and we expect to start 9 more before the end of this quarter. We anticipate opening four in the first quarter and one of those is already opened, we opened it in February. Part of this, you’ll see in our ratio of personnel costs to merchandise sales of 19.2% for the quarter versus 18.3% for the same quarter last year. We expect the earnings pressure to abate by the third quarter of this year as the pace of new store openings begins to level out. Although our robust economic climate especially in Texas is attracting new ground up competition by a wide variety of retailers, and our customers have been impacted by higher payroll taxes in the uncertainty associated with the federal government program Sam mentioned. We remain optimistic that we will produce a 25 consecutive year of positive same store sales growth as we indicted in our initial 2013 guidance. Now I turn the call over to Rocky Dewbre for more detail look at the wholesale fuel segment. Rocky?
Rocky B. Dewbre: Thanks Steve, good morning everyone. Before I review the results, let me remind you that the wholesale segment results that are consolidated into Susser Holdings consist mostly of the Partnership operations, but our wholesale segment also includes the consignment dealer in fuel transportation businesses that we’re not contributed the Partnership, and still remain with Susser Holdings. And now let me begin with the review of Susser Petroleum Partners results; as you saw in this morning’s release, we’ve presented combined financial statements for the Partnership and its predecessor. In addition the pro forma results for sales in gross profit for the more appropriate historical comparisons. The result I will discuss this morning will compare actual fourth quarter 2012 results versus pro forma fourth quarter 2011 results. Starting with the Partnership’s third-party customer sales that is volume sold independent dealers and other third-party customers. These sales were up 1.6% year-over-year. Gross profit dollars on these third-party sales for the quarter increased by 22%, with the margin per gallon at 4.5 cents up from 3.8 cents per gallon in the prior year. The margin improvement was largely driven by strong performance in our commercial fuels group. Gallon sold by the partnership to Susser Holdings for resale at Stripes stores and by independently operated consignment locations increased by 5.4% for the quarter versus the prior year period. This mainly reflects the growth in retail segment gallons which Steve discussed. The partnership now earns a $0.03 per gallon margin on these volumes, which offsets the reduction in the retail segment fuel gross profit, so that consolidated fuel gross profit at the Susser Holdings level does not change from the new MLP structure. In total the Partnership’s average fuel margin for all gallons sold was 3.5 cents per gallon in the fourth quarter versus 3.3 cents per gallon a year earlier on a comparable basis. Total gross profit for the Partnership was $14.6 million, up almost 14% from a year ago on the comparable basis. We reported adjusted EBITDA for the Partnership of $10.8 million for the quarter and distributable cash flow of $9.8 million. Now moving up to the consolidated wholesale segment of Susser Holdings; adjusted EBITDA for the fourth quarter was $14 million compared to $5.9 million a year ago, approximately $6.4 million of this increase reflects the new $0.03 per gallon markup that balance sold to the retail segment, with the balance reflecting the increased gallon sold in higher margins. Full-year adjusted EBITDA for the wholesale segment was $35.8 million compared to $24.9 million in 2011. Our wholesale segment added 13 new dealers in consignment sides in the fourth quarter, and this continued six, which brings our independent dealer account to 579 at year-end. For the full-year, we have organically added 39 dealer sides and discontinued 25 were net increase of 14. Our wholesale team continues to work on numerous growth opportunities and we have healthy pipeline started for this year. We estimate we’ll bring on 25 to 40 new contracted wholesale sides in 2013. We are also working on improvements in our cost of fuel in certain markets and enhancing the automation of our back office operation. Now I will turn the call over to Mary to review the financial highlights.
Mary E. Sullivan: Thanks Rocky, good morning everyone. Let me begin with the quick reminder that our Susser Holdings results fully consolidate the results from Susser Petroleum Partners with the minority interest share of the Partnership net income deducted as non-controlling interest. To quickly summarize, the consolidated financial results of Susser Holdings. This morning we reported fourth quarter net earnings of $10.6 million or $0.49 per diluted share versus earnings of $5.3 million or $0.29 per share a year earlier. Q4 adjusted EBITDA was $45.5 million and it was $182.9 million for the full-year both reflecting solid increases over 2011. One of the key metrics we use internally to measure our performance and to set compensation is Fuel-Neutral EBITDAR which removes the impact of fuel margin volatility from the comparisons. For the year we increased Fuel-Neutral EBITDAR by 13% over 2011. Most of the increases in operating expenses this year were related to the increased store counts. G&A expense in the fourth quarter increased by about $2 million versus a year ago to $12.8 million. Our quarterly run rate this year has been about $1 million higher than last year, largely reflecting additional personnel and related cost of accelerating our growth. The other million increase in the fourth quarter is primarily attributable to additional bonus in 401(k) match, we accrued based on our record results and another $200,000 to $300,000 of additional costs directly related to the operation of our new public company. We currently estimate our 2013 effective tax rate to be between 26% and 29%. This rate would be applied to pretax income before minority interest in your models. The parent Company’s leverage and liquidity position are the strongest in our history, with the trailing 12-month net debt to adjusted EBITDA ratio of just under one times the year-end. The Partnership has $35.6 million borrowed on its revolver at December 31, with over $200 million in availability. Susser Holdings has no funded debt under its credit facility and available liquidity on the combined revolving credit facilities was almost $300 million at year-end. Our $425 million of 8.5% senior unsecured notes are callable in May 2013 at a price of 104 in the quarter. It is still our plan to call these bonds using part of our cash balances. We will need to refinance the portion of the bonds but we’ve not yet finalized the amounts or type of new debt. In any events, we do expect significant interest savings beginning in June. I will note that our guidance provided this morning does not reflect any assumptions on the refinancing. Total capital spending for Susser Holdings was $65.3 million in the fourth quarter and $179 million for the full year. Included in Q4 CapEx is $34.2 million spent at the Partnership, which was $0.5 million was maintenance CapEx and $33.7 million was for growth. During the fourth quarter, Susser Holdings sold eight Stripes stores to the Partnership for a total of $29 million. And we have dropped down three more so far in the first quarter of 2013 for a total cost of $10.9 million. We expect to complete four more by the end of April, which means we will have exercised the first 15 sale lease-back options included in the omnibus agreement. As indicated in our guidance for the MLP in this morning’s earnings release, we currently anticipate dropping down a total of 25 to 35 stores from the parent to the Partnership in fiscal 2013, out of the 29 to 35 new stores Stripes expects to build this year. We expect these drop downs will occur throughout the year as the new stores as completed. In addition to the fuel gross profit made from the Stripes stores, the annualized rent to the Partnership from 11 stores, it is purchased so far from Stripes is $3.2 million as compared to 147,000 of rental income from Stripes during 2012. For 2013, the Partnership expects to spend between $1 million and $3 million for maintenance capital and between $95 million and $135 million for growth capital including the purchase of Stripes stores. On a consolidated basis, Susser Holdings expects to spend $195 million to $215 million in 2013, which reflects the continued acceleration of our new store building program and our ongoing additions to the land bank for future store developments. Our Board recently declared our first full quarterly distribution of 43.75 cents per Susser Petroleum Partners common units to be paid on March 1. This is the minimum quarterly distribution and totals approximately $9.6 million, with distribution coverage of just over one time. We expect this coverage to increase as we move through 2013 and we’ll evaluate increases in the quarterly distribution later in the year. Now I’ll turn it back to Sam.
Sam L. Susser: Thank you, Marry. Operator, we’re ready for any questions.
Operator: (Operator Instructions) And our first question comes from the line of Kelly Bania with Bank of America Merrill Lynch. Please go ahead.
Kelly A. Bania – Bank of America Merrill Lynch: Hi, good morning and congrats on another great quarter.
Sam L. Susser: Thank you, Kelly very much.
Kelly A. Bania – Bank of America Merrill Lynch: Just I guess first just wanted to ask about your gas margin outlook for next year. I guess on the old accounting, $0.15 to $0.18 would be more like $0.18 to $0.21, with your historical accounting. So I mean I guess it’s in line to maybe slightly better than your five-year average. But that five-year average has some really record strong margins in it. So I guess it just seemed to imply that you expect that favorable environment to continue and just wondering if you could comment on that just for reading that correctly?
Sam L. Susser: I think that there will be, this is likely to be yet another year of very meaningful volatility as evidenced by the rapid run up in costs here in the first two months of the year. So based on what we see in the first two months of the year. So based on what we see in the first two months, all the uncertainty in the world, I think we’re more likely than not to see a lot of volatility, and as long as there are some big down quarters to go, with the tough up quarters that usually works out pretty well for us, as long as there is a lot of volatility. I would describe the competitive environment as it is tough as ever. In the last year or two, the rate of new stores being built and the rate of this interest in investing in our markets have certainly grown and picked up. And there’s a wide variety of retailers that are also investing in these attractive markets, and everybody is fighting for their share. We expect seasonality trends that we’ve had in the past to remain in place with our best margins typically coming in the second summer months, and early fall. So generally, winter months are tighter for us and we would expect that trend to remain in place.
Kelly A. Bania – Bank of America Merrill Lynch: Thanks, that’s very helpful. Then just wanted to add one more question on cigarettes, the details we provided for this year were very helpful. And I guess, I’m just curious how you’re planning that category for next year. you seem to be one of the few stores that are having the positive unit momentum in that category. so just wondering what you’re expecting for same store sales and margins for that category next year?
Sam L. Susser: We expect pretty stable margins, and there will probably be some modest inflation in the category. And we hope to continue to take market share. we remain very focused on growing our share of the pie, and thus win our competition, one store at a time, and we hope to continue to outperform the national trend data here in the coming year, but long-term, we see it as a very difficult category. there is growth in smokeless, but long-term the trends in cigarette are going to be down we believe. But I think that we’re going to be able to continue to hopefully ache out flat to slightly positive performance in units here over the next year.
Kelly A. Bania – Bank of America Merrill Lynch: Thanks, that’s helpful.
Sam L. Susser: You bet.
Operator: Thank you. Our next question comes from the line of Sharon Lui with Wells Fargo. Please go ahead.
Sharon Lui – Wells Fargo Advisors LLC: Hi, good morning.
Mary E. Sullivan: Hi, Sharon.
Sam L. Susser: Good morning, Sharon.
Sharon Lui – Wells Fargo Advisors LLC: Just a question in regards to your mode of fuel gallon guidance to the Partnership, what are you assuming in terms of gallon sales per store for the new drop downs? Is it still range between like $2.5 million to $3 million per store? Is that a good number?
Rocky B. Dewbre: Sharon, this is Rocky. Good morning to you too. We haven’t given guidance on that specifically, the range you described is reasonable, and we’ve got a number in the pipeline and a number that have already opened. And we feel pretty good about the number you described.
Sharon Lui – Wells Fargo Advisors LLC: Okay. And then I guess just the question in terms of your growth CapEx guidance. It looks like the cost per store is a bit higher than what was is in the perspective. Is that a function of the size of the store, there is some cost creep in terms of the construction of these stores that you’re seeing?
Sam L. Susser: We just happen in this kind of crop of new stores here right now have built in our building some stores that are very large that have truck diesel offering for the 18 wheel truckers, and probably see a return in terms of cost per store more in line with the long-term trend as we look out into 2014. We’re just happened to have a number of larger units that are coming on stream right now.
Sharon Lui – Wells Fargo Advisors LLC: Okay. That’s helpful thank you.
Sam L. Susser: Yeah.
Operator: Thank you. Our next question comes from the line of John Lawrence with Stephens. Please go ahead.
John R. Lawrence – Stephens, Inc.: Good morning.
Sam L. Susser: Hi, John good morning to you.
John R. Lawrence – Stephens, Inc.: Sam would you go back and talking about the competitive environment, and the new boxes the larger boxes, any real differentiating information or basket size or anything when you compare those Houston stores to the Valley, and any differences there as you get some of those up and running for a period of time.
Steve DeSutter: John this is Steve, we better really last seen across the board our new store crop last year came out of the ground with food service sales significantly higher than the company average, and the Houston group has certainly been there, if not leading the way that kind of in the 30% to 50% range on food service, and that’s fresh food. Specifically LTC better than the system average so, but that’s ticket is similar in size, food certainly has led the way and it’s going to continue to be the anchor for bringing other merchandise sales with it.
John R. Lawrence – Stephens, Inc.: Great thanks and to follow that Sam, I mean you’re talking about the new entrants into the market and a lot of new players building has that changed anything on the footprint plans for ’13 and ’14.
Sam L. Susser: I really haven’t John, we think that we’re pleased with the way the Stripes brand has been received, and we think that our focus needs to be on running our play, and being strong delivering Stripes and Laredo Taco company as we can be and the competitors will do what they’re going to do, but we’re just focusing on trying to be the best we can be in what we’re doing.
John R. Lawrence – Stephens, Inc.: Great thanks congratulations, and have Richard have a couple of extra those tamales ready in a couple of weeks.
Sam L. Susser: He will.
John R. Lawrence – Stephens, Inc.: Thanks.
Operator: Thank you. Our next question comes from the line of Ben Brownlow with Raymond James. Please go ahead.
Ben Brownlow – Raymond James & Associates, Inc.: Hey good morning. Great quarter
Sam L. Susser: Ben, good morning.
Ben Brownlow – Raymond James & Associates, Inc.: Can you comment a little bit you comment on the strength of commercial side of the business, and just talk that a little color around the drivers behind that.
Rocky B. Dewbre: Ben, this is Rocky in our third-party sales we include both dealer locations as own and operated typically by third-party dealers as well as what I call our commercial fuels group, that ranges from an independent unbranded convenient store to an oil and gas company to dairy company wide segment of customers that we sell to, but the area that we’ve seen up a real nice lift has been customers are directly or indirectly serve the oil and gas sector, and it’s been nice lift in gallon there as well as margin.
Sam L. Susser: We’ll also have about I think Rocky and Gail, Les and our team have made great progress, on our supply arrangements, this is the business where suppliers really vital and that’s we’ve made these incremental improvements in supply that’s kind of opened up doors to new customers and new opportunities so really pretty complementary of the work that’s been done there.
Ben Brownlow – Raymond James & Associates, Inc.: All right and are there any Stripes stores on the alternate rate of this point alternate delivery fee.
Rocky B. Dewbre: We have one store on that currently.
Ben Brownlow – Raymond James & Associates, Inc.: All right, and just one last one from me you’d mentioned the store openings and I think that are 11 on their construction and there something that have nine in the second quarter or the first half can you just repeat that for me.
Steve DeSutter: Yeah. So we have, this is Steve, Ben we have 11 under construction. We have nine more that we expected to break ground on and start construction before the end of the quarter.
Ben Brownlow – Raymond James & Associates, Inc.: All right thank you very much.
Sam L. Susser: Okay.
Operator: Thank you. Our next question comes from the line of Lee Giordano with the Imperial Capital. Please go ahead.
Lee J. Giordano – Imperial Capital LLC: Thanks. Good morning everybody.
Sam L. Susser: Good morning Lee.
Lee J. Giordano – Imperial Capital LLC: Can you talk a little bit about your decision making process were how you choose were to open a new store, and is there any particular region where you focused on expansion, or is the opportunity truly broad based. Thanks.
Sam L. Susser: Our real estate team which is led by my uncle Jerry Susser, whose is here with us this morning, uses a handful of tools, works with some excellent real estate development professionals that we have very strong relationships with, but at the end of the day the biggest driver is the view in that feeling in the gut that our team has when there are out looking at the side, assessing its growth potential over time, the competitive advantages or disadvantages that a particular site may have, so if we employ a number of quantitative scientific tools, but for us that gut feel and that experience that my uncle and now David Marks and others have really drive the decision-making at the end of the day. We have a lot of experience here, and we hope to keep building on that.
Lee J. Giordano – Imperial Capital LLC: And Sam, where in Texas, are you focused right now on expansion, are you basically looking on a broad spectrum of locations?
Sam L. Susser: Very broadly, I’m sorry I don’t remember that part of the follow-up question. We are first and foremost focused on filling in, and adding to our market share in the markets that we’re already in. We’re blessed to be in many communities that are experiencing strong growth and we’re trying to get out in front or where that growth going to be three, five and seven years from now. So that’s our main focus is filling, and existing markets, there are a couple of areas that we’re looking at and working on, but for competitive reasons, it would not be appropriate from me to comment on that.
Lee J. Giordano – Imperial Capital LLC: Thanks. And just lastly, Mary, how should we think about G&A expense in 2013, I know you are looking at $1 million run rate on a quarterly basis versus last year. Is that going to increase particularly in the first half? Thanks.
Mary E. Sullivan: I think our G&A Lee, we are still ramping up on the new public company expenses, we spent probably the $0.25 million in Q4, our expectation is $2 million on a full run rate, so a little bit more there. And typically, we see a little bit of inflation in G&A with personnel costs. So I think a little bit of an increase over 2012, fairly level run rate throughout the year.
Sam L. Susser: So I would just build on Mary’s comment, I agree with everything she said, I think we’ll see a little have an inflation trend and new public company expense in the first half, but I see an opportunity for us to leverage G&A as a percent of sales meaningfully in 2014, 2015 and beyond.
Lee J. Giordano – Imperial Capital LLC: Great, thank you.
Sam L. Susser: Thank you.
Mary E. Sullivan: Thank you.
Operator: Our next question comes from the line of Anthony Lebiedzinski with Sidoti & Company. Please go ahead.
Anthony C. Lebiedzinski – Sidoti & Co. LLC: Good morning, Sam you mentioned about the higher payroll tax, so now there were two months into the quarter. Have you actually seen anything from your consumer, just wanted to get a better color on what you’re seeing so far this year?
Sam L. Susser: Sure. Generally, asking that we try to avoid kind of during the quarter, interim updates, but there has been so much news from Wal-Mart and others as to what’s going up to consumer, I think it deserves a comment, the very, very first part of the year, right is the media was focusing on the mass nations and Washington and the payroll tax went into effect. We too saw some bobbling in consumer spending. But as the quarters marched on, we’re hearing less about it, seeing less times of it, and we think that we’re kind of getting back to more of a normal state, but our consumers are not immune, even here in the Great State of Texas to what’s happening in Washington and the impact on their paychecks from these tax changes. and yes, we are seeing an impact and we’re very respectful of how consumer confidence could turn one way or the other as the year plays out.
Anthony C. Lebiedzinski – Sidoti & Co. LLC: Okay, that’s helpful. And how many of your markets that you have military basis, you also mentioned that in your prepared comments?
Sam L. Susser: Close to half.
Anthony C. Lebiedzinski – Sidoti & Co. LLC: Okay. And lastly, could you also comment on your projected store openings and closings by quarter, if you could give us any color on that will be helpful?
Sam L. Susser: Yeah. On the first comment on the number of markets to the military basis in the area, it’s a large number of markets, but it’s not nearly half number of stores.
Anthony C. Lebiedzinski – Sidoti & Co. LLC: Okay.
Sam L. Susser: But it’s quite a few markets. Our openings this year are going to be much more evenly spread out than last year. So last year, we had 18 of the 29, I guess in the third and fourth quarters. This year, it will be much more evenly spaced.
Anthony C. Lebiedzinski – Sidoti & Co. LLC: And then any store closings?
Sam L. Susser: I’m sorry. There will be a few closings throughout the year, but not a significant number.
Anthony C. Lebiedzinski – Sidoti & Co. LLC: Okay, thank you very much.
Sam L. Susser: A couple of these openings have raising rebuilds to what we’re tearing sites and moving across the street or we bought some additional property, and can build a large site with a full Laredo Taco Company offering.
Anthony C. Lebiedzinski – Sidoti & Co. LLC: That’s helpful. Thank you very much.
Sam L. Susser: Thank you, Anthony.
Operator: Thank you. Our next question comes from the line of Ethan Bellamy with Robert W. Baird. Please go ahead.
Ethan H. Bellamy – Robert W. Baird & Co.: Good morning, everybody. The Partnership IPO was an obvious home run and relative to your internal models dealt with part of the IPO, the unit price has got to be substantially higher than what you may have been anticipating, I would assume. How does that cost of capital advantage burst at the MLP directly in for the overall enterprise impact, you’re thinking about strategy. Does that caused capital advantage to open up new possibilities for you basically what is the SUSP, the enterprise meaning, if anything differ from on the time of IPO?
Sam L. Susser: I want to answer that in two parts. So first part is, we felt that we were offering as we communicated on the investor road show tremendous value a bit IPO price, given the risk return characteristics of an investment in Susser Partners, and we’re pleased, but not shocked at the strong unit price performance, since the IPO. We offered tremendous value of that IPO price. We part of why we executed the MLP IPO was we thought we would end up with a long-term lower cost of capital that we would be able to employ into a growing market, and we do expect to use that capital to be more aggressive certainly for sure, organically as we build new stores, both at Stripes and add our very valuable to our very valuable dealer network, and Rocky and the team here are actively considering different M&A opportunities. We never comment on any particular transaction till there is one. But we’ve recognized that we have accessed meaningful capital now and we’re not going to be reckless, we’ve always been conservative and careful. But we do want to grow and we want to use the capital wisely.
Ethan H. Bellamy – Robert W. Baird & Co.: Thank you.
Sam L. Susser: Thank you.
Operator: Thank you. Our next comes from the line of Karen Short with BMO Capital Markets. Please go ahead.
Ryan J. Gilligan – BMO Capital Markets: Hi, good morning. This is actually Ryan Gilligan on for Karen.
Sam L. Susser: Hi, Ryan.
Ryan J. Gilligan – BMO Capital Markets: Can you talk about the competition for labor in some of your markets and how you think that will trend in the upcoming year?
Steve DeSutter: Ryan, this is Steve DeSutter. We certainly continue to have competitive pressures in the oil patch. So the Permian Basin and Eagle Ford shale, I don’t expect that to get worse in fact in some places, we’ve seen pipelines being built and now being opened up, and it’s reducing pressures for truck drivers, and some service people, I see so. I think it’s probably there the pressure is about maximum. There’s also new building going on in those communities, apartments, and condos and places for people to move in and live and then that’s also satisfying some of that market demand for job. Outside of the oil patch, it’s a fairly stable, slightly improving unemployment situation, but not one that’s putting excessive pressures on unemployment for us.
Sam L. Susser: Oil patch labor is very tough, the rest of the markets are more manageable.
Steve DeSutter: Yeah.
Ryan J. Gilligan – BMO Capital Markets: That’s helpful, thank you. And I guess a quick follow-up on labor is, can you update us on any initiatives to become more efficient on labor at the store level?
Sam L. Susser: Yeah. Thanks for asking, Ryan. Yeah, it’s kind of the never-ending part of our job in retail, as to figure out how to get flow through and in 2012, we made a significant investment in developing, training, the new methodologies for training. And so this next year, we’ll be rolling out iBooks and iPad methodologies in all of our stores to better retain employees, better train them to get better customer service. And then we’re building over the top of our people of investment that we made in 2012, a couple of new tools, one of those is in test now for labor scheduling that will allow us to get very, much more precise on a day part basis of when labor needs to be in the stores, and how to schedule that labor, much more easily. And then we’re also creating a job’s exchange board for employees that want to work extra hours or can work extra hours. So all of these are all with the forward-look of over the next two and three and four years finding ways to be even more efficient.
Steve DeSutter: Especially in the light of pressures caused by healthcare reform, that’s really forcing us to think hard about what tools we’ve got to have to be successful as retail operators.
Ryan J. Gilligan – BMO Capital Markets: That’s very helpful. Thank you.
Sam L. Susser: Thank you.
Operator: Thank you. Our next question comes from the line of Jeffrey Birnbaum with UBS. Please go ahead.
Jeffrey T. Birnbaum – UBS Securities LLC: Hey, everyone.
Sam L. Susser: Good morning, Jeff.
Jeffrey T. Birnbaum – UBS Securities LLC: Good morning. Mary, I think you mentioned that you expect for the Partnership’s coverage to increase through ’13, and I think you said that you’ll all evaluate increases to distributions later in the year, and I guess, I was wondering if you could give us some color on, what you’ll be looking for on that, whether it’d be signs of that improved coverage or improvements in some of the political conditions, you’ve all mentioned. What have you, before those distribution increases would be considered, and if we should assume later in the year precludes any increase in the first quarter? Thanks.
Mary E. Sullivan: Sure. One thing to keep in mind, we set the minimum quarterly distribution on the forecast for the next 12 months that was included in our S-1, and so inherent in that is earlier in that period, the coverage was planned to be a little bit lower, and it gets better as we get towards the end of that period. So we’re at right now is not unexpected and really as the coverage improves then we will evaluate the increase in distributions.
Sam L. Susser: No plans for an increase in distribution in the first quarter just specifically to answer that though, definitely later in the year, did mean later in the year. But the key consideration for us on that will probably be our coverage ratio, and the actual outlook for the partnership in Washington had in all those things going on there, really has less impact on the partnership than it has on the Stripes retail business.
Jeffrey T. Birnbaum – UBS Securities LLC: Yeah. That makes sense, just wanted to clarify. thank you.
Sam L. Susser: All right, thank you.
Operator: Thank you. Our next question comes from the line of Jerren Holder with Barclays. Please go ahead.
Jerren Holder – Barclays Capital, Inc.: Good morning.
Sam L. Susser: Good morning.
Jerren Holder – Barclays Capital, Inc.: Just a follow-up from Sharon’s question earlier, given the agreed annual lease rate and the pickup in the food store cost, is it fair to see in that, we should see higher rental income being generated by the new stores that was acquired at the partnership level.
Rocky B. Dewbre: Yeah this is Rocky, Jerren. The lease agreement we have in place between the partnership and Susser Holdings is the 8% rent. so obviously as the purchase price is higher, the rent is higher.
Jerren Holder – Barclays Capital, Inc.: Okay.
Sam L. Susser: And also as we build, when we do build larger stores, we have expectations for elevated volumes to go with that.
Rocky B. Dewbre: Correct.
Jerren Holder – Barclays Capital, Inc.: Okay, okay. Also given your expansion CapEx guidance and considering that the majority of it’s being spent in new stores, what other projects are being taken to consideration in that number, if any?
Rocky B. Dewbre: Yeah. Jerren, this is Rockey again, so inside our dealer business, we have given guidance on planned growth and the number of sites we supply fuel to. And so part of the capital in addition to the Stripes drop downs would be going to satisfy that growth. so as we have new sites, we make an investment in the locations. so that’s well, those are the two largest pieces of capital Stripes in our dealer segment.
Jerren Holder – Barclays Capital, Inc.: Okay. Thank you.
Operator: Thank you. (Operator Instructions) Our next question comes from the line of James Jampel with HITE. Please go ahead.
James M. Jampel – HITE Hedge Asset Management LLC: Thanks for taking so many questions, I do appreciate it.
Sam L. Susser: Yeah.
James M. Jampel – HITE Hedge Asset Management LLC: Can you comment a little bit on the competitive dynamics of a place like Houston versus San Antonio or Austin or Dallas, I was just looking at your map and I’m trying to understand where you are, where you are and where your next move might be?
Sam L. Susser: The major metropolitan areas all I have numerous fabulously tough retail competitors without exception. and these markets are the most attracting markets to the United States. Dallas and Houston go back and forth for number one in population growth, number one in employment growth, Austin, San Antonio, Central Texas have very strong positive demographic changes. and these positives are attracting the best in the business, and they’re equally challenging from a competitive standpoint. We also though have a lot of exposure to many mid-size and smaller communities. And we’re continuing to invest in those communities, outside the major metropolitan areas. and that we’re trying to have a well-balanced portfolio of new store investments that we make. so that we’re not afraid, we’re not shying away from some major markets, but we’re respectful of our competitors, and we’re very pleased to continue to invest in the mid-size markets that have been core to us for many, many years.
James M. Jampel – HITE Hedge Asset Management LLC: So the initiatives in Houston, would it be fair to say that those are like sort of testing the waters in the more major markets?
Sam L. Susser: I would say that amount of money we’ve put into Houston is not a test. We are committed.
James M. Jampel – HITE Hedge Asset Management LLC: And it could potentially that be expanded at some point to the other major markets or is there something inherently different that’s I’m trying to understand.
Sam L. Susser: Yeah. These markets are really huge, and it takes a lot of capital and a lot of focus to become relevantly meaningful and develop meaningful market share. and we’re kind of; one or two markets at a time, we’re not at a place where we could do a good job and handful of major metropolitan areas around the country, around the giant state of Texas. so we do believe in focusing ourselves. and if we continue to develop, success and deliver the kind of years we’ve had the last few years, and we’re keep expanding our growth pattern.
James M. Jampel – HITE Hedge Asset Management LLC: Thank you.
Sam L. Susser: Thank you.
Operator: Thank you. I’m showing no further questions in the queue at this time. I’d like to turn the call back to management for closing remarks.
Sam L. Susser: All right. we want to thank everybody for joining in on the call. We appreciate your interest in both Susser Holdings and Susser Petroleum Partners, and we would like to formally invite our analysts and portfolio managers to Houston on March 21st for our Analyst Day. we’ll follow a similar format as we’ve done in the past. we’ll start around 7:30 in the morning with the tour of several locations, then formal presentations with management starting the mid-morning 11, 11:30 covering both companies at our Susser Petroleum Partners headquarters building in North Houston. We’ll get you out in plenty of time to catch a flight home to the East Coast where we are going. and we don’t plan to webcast the meetings since the store tour is such a big part of it. but we hope you can make plans to attend. Anne Pearson of Dennard Lascar, are outside, our IR firm can send you detailed information and the registration materials, if you’re not already signed up. Anne’s contact information is in the morning’s news release, and we thank you everyone for joining us, come taste the tacos. Thank you.
Operator: Ladies and gentlemen, this concludes our conference for today. If you’d like to listen to a replay of today’s conference, you may access replay information in this morning’s earnings release. Thank you for your participation. You may now disconnect.